Operator: Ladies and gentlemen, welcome to the Half Year 2021 Results Conference Call and Live Webcast. I am Alistie, Chorus Call operator.  The conference must not be recorded for publication or broadcast. At this time, it’s my pleasure to hand over to Dr. Detlef Trefzger, CEO of Kuehne + Nagel. Please go ahead, sir.
Detlef Trefzger: Thank you, Alice. Good morning, good day, good afternoon and good evening to all of you and welcome to the analyst conference on the half year 2021 results of Kuehne + Nagel International AG. Our CFO, Markus Blanka and I welcome you, as always, from sunny Switzerland.
Markus Blanka-Graff: Thank you, Detlef and welcome also from my side to all participants on the call and listeners on the way. Let me start on Page #17, income statement and yes, second quarter 2021 was a very strong result in absolute terms, but also relative of course compared to quarter two 2020, but especially to the already very good result in the first quarter 2021. We were able to accelerate incremental results sequentially. And when you look into the columns of the variance between second and second – first and second quarter 2021, you can see we have in second quarter added CHF536 million of gross profit and CHF373 million of EBIT compared to last year. Indeed, there is an effect of the first consolidation of Apex in it on the gross profit level, as mentioned before, to the amount of CHF134 million on an EBIT level in the amount of CHF71 million. Nevertheless, also the growth on the legacy business, on the Kuehne + Nagel proprietary business, that was stronger in the second quarter accelerating than in the first. Of course, that acceleration expresses itself in nearly every KPI alongside the profit and loss statement. And let me highlight a few of them. Conversion rate is on a year-to-date basis on 23.9% in the second quarter’s loan 26%. You may remember that is the target number that we have given for 16% conversion rate for 2022 in our strategic outlook. I think we will most likely update that number in the next quarters to come when we will also expand on our future plans on a strategic level. Let me talk about the Apex acquisition and consolidation certainly as one of the main events in the second quarter. It has not only changed the performance level of the group. When you look into the numbers that I just mentioned, CHF134 million gross profit and CHF71 million EBIT, you can calculate the incremental conversion rate of this business in itself is 53%. But not only the financial performance has been improving, but also the balance sheet and the P&L has added a few lines. Most notably on the P&L, you can see here our non-controlling interest line has increased to around CHF7 million that is the value for around 2 months. That is equal to this year that is still owned by the Apex management.
Detlef Trefzger: Thanks, Markus. The emergence of the pandemic last year triggered a high degree of uncertainty, which persists to this day. And as always, you ask us for outlooks and what is the perspective? What do you expect? Let us share the current perspectives, both on the market as well as on ourselves, how we respond to this dynamic environment. Note that also in today’s press release, we anticipate continued strong demand in the second semester 2021 across all businesses and all geographical markets, driven by the end consumer and the spending of governments into a lot of infrastructure projects that have already started. This current favorable trend and all the trends we see in different countries and markets is likely to go through the Lunar New Year, which I mentioned, February 1 next year. Don’t take the February 1 next year. But it’s more – it will last longer than we originally anticipated. And the view on the market post Lunar, it would be speculation. It remains uncertain. But one would believe that there will be no radical change to be expected, but maybe a gradual trend towards whatever normalization might look like. But I would like to make also one statement that despite this trend to normalization, transport rates, in general, for many reasons, will stay and remain at a higher level than what we have experienced during the last decade. And that we shouldn’t forget because we will not see rates again that we have described in 2014, ‘15, ‘16 as being a record low in transport rates that we have seen for many decades at that time. Kuehne + Nagel and our response, as mentioned, our strategy has been clearly confirmed and the implementation and deployment continues to accelerate. We push hard to finalize our strategy deployment. In this strategy, we focus on three areas, and this focus continues and is strong throughout the whole group, its industry solutions and eTouch. So, servicing both customer needs at the same time, out of one organization and we are getting a lot of traction here. Technology and digital platforms and enabler to stay active and in business without any minute interruption caused by us last year, and that is even accelerating and expanding. And a focus on our colleagues and experts training them, retaining them, ensuring that their freedom to act and the decision taking is given in order to serve the customer needs that they have to face in the local and regional markets. And with this summary or current perspectives, I would like to hand over to Alice again to open Q&A. Thank you.
Operator:  The first question comes from the line of Daniel Röska with Bernstein Research. Please go ahead.
Daniel Röska: Good afternoon gentlemen. Three, if I may. Kuehne has seen exceptional performance – is seeing exceptional performance, both in the business and your share price. Kind of thinking beyond the current disruption, what new strategies or actions in the business or your financial strategy can you launch to support continued performance and to soften headwind when freight markets normalize. Secondly, maybe be from your conversations with customers, how are your customers kind of holding up and reacting to the strong price increases? And how have your conversations over the past 12 months changed? Is there any change in tonality or the topics that are important to our customers? And lastly, you sold 24.9% to Partners Group from the Apex acquisition. Why? You – the release says it’s kind of for continued M&A and improvement, but it seems like you have expertise and you could have done a lot of that yourself. So, what’s the rationale for selling the stake if Apex is a great business, did you need the cash in the end? Just some insights on that decision would be great. Thanks.
Detlef Trefzger: Hi, Daniel. Thanks for your questions. Let me start answering them. New strategies, yes, we have a lot of ideas, but let us finish deploying our strategy fully and completely by end of next year and really start harvesting from this strategy even more than this year. You know that we are still deploying the operating system for Sea Logistics. And what we have seen in Air Logistics, we can only also generate as momentum with regards to eTouch and Sea Logistics. But the prerequisite is the new TMS and this needs another six months, nine months for fully – being fully rolled out worldwide. We have ideas, and I only allude to one topic, which is the industry expertise that we have developed in many areas and a more industry-focused approach in certain – for certain markets. One example could be the pharma healthcare sector. And here, I stopped in here. We will invite you and share the new strategy with you in due course when we have prepared our entire thinking. Customer retention and customer reactions and customer behaviors, first of all, we are a service provider who can deliver what we promise, and that is what we focus on at the moment. So, you have seen the growth in Sea Logistics. We do not accept each and every cargo. We make sure whatever we accept we can ship as much as we can influence it as flawless as possible. Customers are very grateful. We support them also with our digital platform, our outlook, our supply chain visibility. I mentioned that also with the eTrucknow solution. And the sustainability of our solutions, we don’t talk about it much. But with all the discussions also Greenlee Europe, sustainability is back on the agenda high with our customers. And we have transparency, we can avoid, reduce and we can also offer compensation possibilities, but this transparency and the possibility to optimize the supply chain also with sustainability, our CO2 footprint is becoming more and more important. And especially with those customers that have a direct and consumer-related business model.
Markus Blanka-Graff: Daniel, to your third question on Partners Group, I think it’s always good to have a strong partner. And I think our ambitions in Asia that we have been quite vocal about at the – already since a year or 1.5 years or so. I think we have made a step. I think also in the first quarter, we said already, we would like that step, and it was – it is very beneficial, but I think we hinted also to the point that it was not the last one. And I think with a strong partner, this has very good expertise in Asia, has different access to a level of potential targets. You know the market as much as I do, maybe even better. M&A targets are identified sometimes because they raised their hands. Some of them are identified because investment bankers find them. But some of them only strong knowledgeable partners in the region actually know and have access to. And I think this leverage with Partners Group is the right one and is the one that is going to open doors that we might actually normally even not know that there is a door. And I think – before that background, I think that is a very good relationship we started and it’s – we have hopes that, that’s going to expand further. So, that is the why and that is a strategic why and looking forward to obviously, see that coming to fruition as well.
Daniel Röska: Great. Thank you.
Detlef Trefzger: Hello Alice. I think we have…
Operator: The next question comes from the line the line of Sathish Sivakumar with Citigroup. Please go ahead.
Sathish Sivakumar: Yes. Thank you. Thanks again for your time and the presentation. I have got a couple of questions here. Firstly, on the Apex. So, how does Apex actually change your vertical exposure within the Air Logistics? And what do you actually attribute that GP per ton outperformance, as I say, standalone Kuehne + Nagel. Is it mainly because of the vertical or is it driven by the market that they operate in, i.e. mainly Transpacific? And the second one is around the OpEx for TMC Logistics. Looking at the current disruption levels, how does it actually changed your productivity in terms of shipment that’s been handled first half per day? And is it fair to say that CHF250 million to CHF260 million per TU kind of a new normalized levels in the near-term.
Detlef Trefzger: Sathish, let me answer your two questions. Thank you for that. First of all, OpEx in Sea Logistics, it’s too early to talk about a new normal. We don’t know. We have a lot of manual efforts, and I mentioned that during my presentation, especially in Sea Logistics, because there is a lot of disruption in the physical supply chain. And our experts, our logistics and forwarding experts have to interfere manually. So, eTouch and Sea Logistics would not be possible at the moment given the current market situation. So, that is the current situation. And the outlook too early to say what is – what would be the new normal. But we believe that this continues longer and that the manual interference and the workload for our colleagues remains or the involvement of our colleagues remain, so that we do not expect a major change in the next couple of months. With regards to Apex air exposure, I would not talk about an exposure. For me, it’s a chance. It’s two – tri-fold. It’s the focus on the Transpac, one of the great trade lines where, by the way, in Sea Logistics, we grew extremely well, but we have not had a strong position in Air Logistics before we acquired Apex. That was one of the rationale backgrounds for that acquisition. And secondly, the Asian and Chinese customer base, these are customers that originate in the market that we are strong in and have been strong in prior to the Apex acquisition, but we get much closer to an Asian customer base. And that has always been our strategy to exploit the market potential with Asian customers better. And both, we see already after only two months of or three months of post consolidation, we see clearly that we make a lot of progress here. We have the same thinking, the same way to addressing topics and that helps. Furthermore, they have a carrier business different to us. Their carrier management is unique, and we can leverage this not only on the Transpac most likely, but we – and that we will see in the future. Thank you.
Sathish Sivakumar: Okay. Thank you very much. Just a quick follow-up on the carrier management how easy it is actually to rollout similar capabilities across your own dedicated network?
Detlef Trefzger: We don’t have co-loading dedicated network, but we see a unique position of Apex in Asia with Asian co-loaders, and that is one of the reasons why Apex continues to stay standalone or separate from the Kuehne + Nagel organization. We will leverage this further.
Sathish Sivakumar: Thank you. Very clear.
Detlef Trefzger: You’re welcome.
Operator: The next question comes from the line of Muneeba Kayani with Bank of America Global Research. Please go ahead.
Muneeba Kayani: Hi. Thank you for the call. First question, Detlef, you mentioned that you expect transport rates to remain mean above pre-crisis levels. Can you talk about why you think that will be the case. And kind of how much higher than pre-crisis levels, do you think transport rates would be? And then secondly, on the M&A strategy and working with Partners Group, so how should we be thinking about M&A going forward? Like, can you give some maybe size or timing or any other color around that would be great to understand. Thank you.
Detlef Trefzger: Muneeba, thanks for your questions. Market rates, I wish I knew exactly what the rates will look like. But the reasons for the rates being higher than the last decade, in the next – or in this decade, we are in right now, for sure, have capacity or is a reflection on capacity and the upgrade of or the requirements for investments upgrading the infrastructure in many ports in the operations of our suppliers as well as also the, let’s call it, the sustainability part of transportation. You have heard about the Greenlee Europe, and it includes the carriers, the sea freight carriers all of a sudden. And we will prepare and we have had a discussion on IMO 2020 last year, but we forgot because of the pandemic. So, the sulfur or low sulfur bunker in sea vessels that have been introduced. All this will cause higher transaction costs permanently or longer lasting in the business models we pursue. And if you look back for two decades or three decades, we had historic low rates in the last decade between 2012 to 2019 and this is most likely, it’s our assessment getting back to a more normalized level. And if you take the average of the first decade of this century, most likely, that is a good indicator or could be a good indicator for the future normal rates. But it’s too early to talk about normalization. This will last for sure until Lunar New Year and maybe even longer, we don’t – and I mentioned the Bullwhip effect because the effect of the Bullwhip is that the acceleration is increasing. And nobody knows what needs to be input – what input needs to be coming to the system in order to stabilize?
Markus Blanka-Graff: And Muneeba, it’s Markus. On the M&A, I think the strategy has not changed. The partnership with Partners Group doesn’t change the strategy. It just is a massive leverage for us, the positive momentum that we take. I think the strategy in M&A is still very much focused around Asia and also the support from the supervisor and the majority shareholder into the Asian development is continuous. And that remains our primary focus on the M&A targets. And will you see some bolt-on acquisition of small size as well in the future. Yes, you will. I mean you have seen that a couple of days back, we have announced the closing of a small, small in relative terms to the other acquisition we have done, but still an important acquisition in Norway. So niche markets, niche players on a complementary node, it’s always on our agenda. But the strategy has not changed. Asia is the focus. We want to be relevant, large and important in Asia.
Muneeba Kayani: Thank you. Any specific size, like would you – should we – there is more, but then adding more like $1 billion deals?
Markus Blanka-Graff: No, we do select targets by relevance to our business model and strategy by size. So – but in Asia, you could fairly assume that most of the targets are sizable.
Muneeba Kayani: Thank you. And Detlef, just a clarification, when you say transport rates, are you talking just about Sea or are you talking about Air, as well? And how do you see e-commerce impacting the air side looking?
Detlef Trefzger: I am talking about sea and air, and e-commerce has a clear impact on the demand at least and those rates. But also partly on the road logistics network because we will see I’m coming back to Europe, sustainability or CO2 demand for CO2 efficient transports kicking in soon, we have solutions for this, but operating this comes at a higher cost.
Muneeba Kayani: Thank you.
Detlef Trefzger: You are welcome.
Operator: The next question comes from the line of Sam Bland with JPMorgan. Please go ahead.
Sam Bland: Good morning, good afternoon. I’ve got two questions, please. Again, it’s back to the sort of long-term comment on freight rates. Obviously, you said that you think freight rates will be higher in the long run. Does that necessarily also extend to unit margins? Obviously, they are not exactly the same thing. So you are confident enough to say unit margins can be higher in the long run than the historic level or not at this point? And the second question is obviously, with all of these very strong, very high freight rates and also maybe low reliability. Have you seen any pickup in sort of customer demand for near-shoring, bringing production back closer to consumption or anything along those lines? Thank you.
Detlef Trefzger: Happy to answer your questions. Yes, freight rates, I mentioned will most likely stay higher than in the last decade or in this decade after the normalization has taken place maybe in 2022. The Operating cost, though, is addressed by our clear strategic program. And eTouch is one effect. And we always said eTouch is not only creating benefits for eTouch shipments but also for solutions in those areas where we have a fully automated or majority automated solution or system running a booking process, for example. So there will be benefits that go beyond the classical eTouch. But too early to say at what level we will end. It’s also the benefits that we will see, especially in air freight from Apex and our joint procurement will also have a certain on how we can produce more efficiently air freight solutions. Near-shoring, it’s a classical question. We have answered that a couple of times already and don’t take it as a criticism, but it’s interesting that it comes back because we have seen a trend to regionalization and near-shoring already 10, 15 years ago. Countries like Vietnam recently, but Romania, Mexico benefited from this trend. Turkey, for example, benefited from this trend extremely over the last 10, 15, 20 years. What we will see and that is some trend, especially in the consumer electronics, spare parts business in automotive and others niche areas that we see – set a trend to second sourcing in a different geography, maybe with the same supplier, but a different geography. If you had a provider, a service provider or a producer located in Wuhan early last year, in the Hubei province, maybe a second one and you were line-feeding from there with the minimum stock level of 2 or 3 weeks or a maximum stock level, in fact, and maybe your prepared even for Chinese New Year, you stopped production the latest middle of April because nothing was floating. And if you had a second provider in Mexico or Romania, to take those examples once more, you continue – you had a chance to continue production until the pandemic hit the European or the North American markets. So the second sourcing in a different geography, that is a trend we see with certain customers that had not prepared for this previously. So it’s not an industry, it’s more a customer-specific trend, but not a general change. I hope that answers your question.
Sam Bland: Yes, that’s fine. I mean on the first one, I was more asking I think you said freight rates will stay higher. I was more asking about sort of unit margins GP per unit. Does high freight rate automatically mean high GP per unit or could you have one that ends up higher than before, but one that’s lower than before?
Detlef Trefzger: I always aim for the higher. And I would assume that we will – and that was my answer with joint procurement with Apex, for Air Logistics with the new systems in place in Sea Logistics will be able to have a higher margin not as high as today, most likely, but a higher margin than previous years generated sustainably over the next couple of years.
Sam Bland: Okay.
Markus Blanka-Graff: I think if I may add – If I may add to that point, Sam, I think it’s common interest also for some others on the call. I think what we have to realize is when it is very high freight rates as of today. And when we agree that they are going to stay higher, certain mix, certain cargo mix will not be there or certain cargo will just not be there. So there is a shift in mix that is driven by freight rates eventually. So that is something that we need to consider. And the second part, I think that we also need to consider on a longer term basis, we might see other geography is becoming more important be it, I don’t know India, be it North Africa, be it  like that, where we actually might be seeing also geographic changes in the mix. And that might well end up in a higher GP per unit number than it was – than what it is right now.
Sam Bland: Understood. Thank you very much.
Markus Blanka-Graff: Thank you.
Operator: The next question comes from the line of Alexia Dogani with Barclays. Please go ahead.
Alexia Dogani: Hi, good afternoon. Thank you for talking my question. I actually wanted to follow-up on the mix point actually on sea freight volumes, if we’re getting no commodity volumes at the moment, I mean, does that have an implication for sea freight volumes globally or other sectors are filling in that gap that will be sustained in kind of rate normalization environment. And – then secondly, in terms of your customer base in sea freight, in particular, are you actually gaining new customers? Are you just increasing the activity you do with the existing customers? Can you just give us a little bit of color of what’s happening and just on the customer base? And then finally, in terms of seeing normalization and you kindly indicated likely kind of post Lunar New Year, what really needs to happen to see spot rates normalize? What would be kind of the sequence of events? Thanks.
Detlef Trefzger: Let me answer – let me start with the latter question. What needs to be normalized, a lot of things at the moment. First of all, it will take another year or so if we see a significant increase of capacity. But the congestion is with the ports. So we need different models for the product and an upgrade and enhancement of the ports I’m talking see logistics. For Air Logistics, normalization would require belly capacity to be offered or be available in the market in a significant volume, which we don’t expect to come back before 2023 or 2024. Carbon footprint and sustainability and CO2 emissions is a huge topic with existing customers and new customers and we both ends. We have seen a lot of demand, and I mentioned that before, especially with those customers that have a direct and consumer business model that pursue a business model, producing whatever apparel sports gear or whatever directly sold via e-commerce, for example, the end consumer. And our solution, our transparency, our visibility on what causes – what routing, what mode of transport, what packaging and so on causes what CO2 emission and how can this be optimized as well received. And the first question with regard to commodities, there is absolutely no reason to believe that higher rates will allow loan products as such to move back into Air Logistics or Sea Logistics, they will have to see different markets or value of the goods have to increase because there is a huge demand in forestry products, for example, driving a construction cycle. And all of a sudden, this product can be higher transport costs. Thank you.
Operator: The next question comes from the line of Christian Obst with Baader Bank. Please go ahead.
Christian Obst: Yes. Hello. Thank you for taking the question. First is you are entering into partnerships or you stated that you’re entering into partnerships with airlines, American Airlines, British Airways, Air France and so on and so forth. Can you give us some kind of an idea how these partnerships are working, especially when it comes to sustainable aviation fuel. So what is the content of these partnerships? This is the first question. The second one is on eTrucknow. You gave some kind of a market value for your digital custom clearance platform. Can you give something else for eTrucknow? And can you confirm that the conversion rate for eTrucknow is 75%, 80% plus. And last but not least, maybe just a comment on Apex. So maybe you also might comment on that. So I understand how you target the Asian market and how you like to develop there. However, why does partner have to have a stake in Apex to open further doors for you in Asia? Thank you.
Detlef Trefzger: Christian thanks for your questions. Partnership on SAF, so sustainable air freight aviation, if you will. The partnership is that we procure a certain volume of SAF and we provide this for certain flights or for certain customers. And this is then used on those flights or applied by the airlines on those flights or put into the cycle when we have cargo on board for those customers. They have been a regular network being set up for being totally SAF fueled, so to say, and we have specific customers that require SAF. And we see a trend that this is increasing. The bottleneck by the way, is the production of SAF and bio-fuel and how you call it, but there is a huge demand because it’s immediately CO2 neutral because it’s built on renewable or recycled produce.
Christian Obst: Okay.
Detlef Trefzger: Your question with regards to – sorry.
Christian Obst: Okay, you guaranteed a certain amount of volume for these kind of flights. So, this is the main thing you are doing there. 
Detlef Trefzger: You mean versus the airline?
Christian Obst: Yes.
Detlef Trefzger: No, we buy this solution – or we developed this solution jointly with the airline, and we buy it, then airline, and the airline guarantees that they have capacity and the possibility to apply SAF on certain routings or in certain floods. And it’s on customer demand or on the airport, airport networks that we have announced already, yes. Then your second question, I think there is a misunderstanding. Our custom solution for the Brexit has been called or is called your easy Brexit solution and your easy Brexit solution got so much traction and has received so much positive feedback and buying from the customers that we neutralize this now from the pure Brexit, Europe, UK, trades and build on that platform, on that basis, you’re in the custom solution. And this will address screens processes on a platform in many markets worldwide and a very focused approach. And this, you will see this we will deploy in the third quarter this year, so the quarter we are in. So on the last – maybe on the last question, I think the question about why we can decide as a company why and how we want to drag on expertise and know-how. I think it’s important that Partners Group, who has also a seed in the Apex Board can bring that expertise that know-how in the market directly into the boardroom. And that is something that obviously is different when you have a joint commercial sharing of the benefits. I think that is a perfect reason why you would bring somebody who shares the destiny also in commercial terms and can bring, as I said, his expertise know-how and experts into the quarter. I think it’s a brilliant idea. 
Christian Obst: Okay, okay. Understood. And the other one was on eTrucknow. So the eTrucknow is now in 18 countries worldwide. So – and what is the entire volume you are approaching maybe in the next 5 years from eTrucknow and how is the conversion rates there?
Detlef Trefzger: We are not disclosing details on those platforms, Christian. But you’re right, eTrucknow is the SAAS Software as a service solution and the supply chain visibility solution that has started in many markets and that we are increasingly rolling out into other markets. Okay?
Christian Obst: Okay. Thank you.
Detlef Trefzger: Thanks, Christian.
Christian Obst: Thank you.
Operator: The next question comes from the line of Sebastian Vogel with UBS. Please go ahead.
Sebastian Vogel: Hello and good afternoon. I got three questions. The first one is on sea freight. In many of the news outlets, it’s mentioned like pretty much everything is on the water that can still be there, so to say. At the same time, I see that your volumes are increasing, but not that materially. Are you getting more selective for – how do you see the situation there? The second one would be on Apex. I sense that the way Apex was sort of calculating the air freight volume was a bit different from the way you were calculating your air freight volume. Since the Hager transaction is now being closed. Can you remind me what is sort of the sort of the real Kuehne + Nagel volume that Apex has sort of have been flying around in the past. And last but not least, again on Apex, you mentioned there that you have seen like an EBIT of more than CHF70 million for 1.5 months. And you mentioned on the other side that you expect that rest of the year should be sort of the same, what we have seen in the second quarter, more or less, or at least I understood it this way. Would it mean that we could get them there to a level of CHF350 million in terms of EBIT contribution from Apex? Or is it just far too early to say something like that?
Markus Blanka-Graff: If I may, I’ll take the last one first. I think your calculation is correct, but it always takes a certain level of uncertainty with estimates. So I wouldn’t entirely outgrow the number that you’re saying, but I think it is on a very ambitious high end. But for sure, compared to what we have announced for the closing of the deal based on the 2020 numbers, I think it will be a significant improvement. 
Detlef Trefzger: Let me take the other two questions, and I’ll start with the Apex volume question. We have posted 94,000 tons for the second quarter for 2 months. That is only taking into account the export volumes in depend on how many legs we transport – And we will give even a sharper picture than during the – when we announced the quarter three figures. There is a difference which we knew when we acquired Apex, it’s always different per company. We purely count export volumes per shipment and not per leg or export and imports twice, and you find everything in the market. So what you see, you have to check what is the definition of the volume – the underlying definition of the volume. Sea freight, yes, I said so. Yes. Clear, more selective, more intensive operations and the lack of commodity shipments. We don’t have forestry products. We don’t have recycling material pipe and paper. We don’t have a lot of commodities in the network anymore, and we have consulted this lag with a 2.9% volume growth, and we are extremely selective. Growth is at the moment, not our focus but ensuring that our customers get as much as possible flawless supply chain operated and supported by Kuehne + Nagel in Sea Logistics. 
Sebastian Vogel: Understood. One quick follow-up with regard to the Apex volumes and for 2020, does it mean, for example, that Apex had flown around something like 500,000 tons or do you have a number for 2020 then in mind?
Markus Blanka-Graff: No, we have not recalculated 2020 in our terms, but I think we could well come up to the 500,000 to 600,000 tons in 2021.
Sebastian Vogel: Got it. Many thanks.
Markus Blanka-Graff: Alright.
Operator: Today’s last question comes from the line of Marc Zeck with Stifel. Please go ahead.
Marc Zeck: Yes. Thank you for me. Just two questions. One on the commodity volume in sea freight, could you just remind me give a ballpark figure, what was the commodity volume pre-pandemic in terms of – or in relation to the total volume you shipped in Sea? And second question on Apex. Apparently, they have grown volumes quite significantly in the first half of the year. Could you elaborate a bit on the split between co-loading volume and non-co-loading volume for Apex, which one of these segments is growing stronger? Thank you.
Detlef Trefzger: Sure. Let me start with the Apex related question. So the co-loading volume is 40% to 45% of the whole volume both develop at an equal or similar speed at the moment. There is no significant difference. But I mean, we can go into details when we share some more details on Apex after the third quarter. For sure, the gross profit is much lower in co-loading, as you know, and – but has a different conversion rate. So that – it’s a different business model, which we are eager to continue is one of the reasons why we have pursued Apex and their expertise. The commodity volumes, we don’t disclose details here. But if you look back in some of the analyst calls then by the way, recycling with material dropped out of the market, you get a bit of a – we stated on the forestry trend 2 years ago, I think it was – you get a bit of a flavor how much that is. It’s significant. It’s a significant volume contribution in the network. Thanks Marc.
Marc Zeck: Okay, thank you.
Operator: There are no more questions at this time.
Detlef Trefzger: Thank you, Alice. And ladies and gentlemen, thanks for joining the Kuehne + Nagel call on the semiannual results first half year 2021. As you know, Kuehne + Nagel has performed strong in the second quarter and also in the first half of this year, with earnings more than doubling. But 2021 remains unpredictable and challenging, but we are prepared. We know our way and we remain committed to our proven strategy of providing reliable, high-quality technology supported and data-driven services to our customers. That’s the focus customers is in the center of our activities. And thus, it’s all about our logistics experts, our technology platforms as well as our agility. And having said so, I wish all of you a nice summer and we talk again on October 10 when we post our third quarter results. Looking forward to you, stay healthy and see you soon again. Bye-bye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call and thank you for participating in the conference. You may now disconnect your lines. Goodbye.